Operator: Greetings and welcome to the Rexford Industrial Realty First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Steve Swett. Thank you. You may begin.
Steve Swett: Good afternoon. We would like to thank you for joining us for Rexford Industrial’s first quarter 2015 earnings conference call. In addition to the press release distributed today, we have posted a quarterly supplemental package with additional details on our results in the Investor Relations section on our website at www.rexfordindustrial.com. On today’s call, management’s remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are usually identified by the use of words such as anticipates, believes, estimates, expects, intends, may, plans, projects, seeks, should, will and variations of such words or similar expressions. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to revenue, operating income or financial guidance. As a reminder, forward-looking statements represent management’s current expectations. Rexford Industrial assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company’s filings with the SEC. In addition, certain of the financial information presented on this call represents non-GAAP financial measures. The company’s earnings release and supplemental information package which were released this afternoon and are available on the company’s website present reconciliations to the appropriate GAAP measure and explanation of why the company believes such non-GAAP financial measures are useful to investors. This afternoon’s conference call is hosted by Rexford Industrial’s Co-Chief Executive Officers, Michael Frankel and Howard Schwimmer together with Chief Financial Officer, Adeel Khan. They will make some prepared remarks and then we will open the call for your question. Now, I will turn the call over to Michael.
Michael Frankel: Thank you and welcome to Rexford Industrial’s first quarter 2015 earnings call. I will begin with the summary of our operating and financial results for the quarter; Howard will then provide an overview of our markets and recent investment activity; and Adeel will then follow with more details on our quarterly, our balance sheet and an update on our outlook for 2015. The first quarter of 2015 represented another strong quarter for Rexford as we achieved strong same property NOI growth driven by occupancy gains and favorable re-leasing spreads and we continue to source exceptional investments acquiring over $52 million during the quarter and $68 million year-to-date. We’ve now almost doubled the size of our portfolio since our IPO almost two years ago. We also strengthened our balance sheet and liquidity through the completion of our $177 million follow-on equity offering during January and we remain committed to maintaining our investment grade profile as we move forward. More specifically, turning to our first quarter 2015 operating results, we achieved recurring FFO of $10.1 million, which is almost two times the amount of FFO compared to the same period one year ago. We achieved recurring FFO per share of $0.20 driven by our accretive internal and external growth, which represented an exceptional result considerably more than doubled our share and units count during the prior year, primarily to our two equity offerings. Our portfolio continues to perform well. Occupancy on a stabilized same property portfolio basis was 94.9%, representing a year-over-year increase of 460 basis points. On a same property basis, the NOI increased 7.4% in the first quarter of 2015, compared to the first quarter of 2014 driven by a 4.2% increase in same property revenue and a 3.4% decrease in the same property expenses. Same property portfolio of cash NOI increased a robust 7.3%. With regard to leasing for the consolidated portfolio we signed 141 leases accounting for approximately 778,000 square feet during the first quarter, which was a leasing record for Rexford. We signed 72 new leases for about 458,000 square feet and we signed 69 lease renewals for about 320,000 square feet. The quarter’s tenant retention was 51% and reflects our ongoing strategy to capitalize on rising market rents to maximize our portfolio, cash flow and value by selectively re-tenanting high demand spaces with expiring leases at higher rents sometimes by merely re-marketing to new tenants and sometimes by selectively moving tenants out, so we can perform value add upgrades to achieve higher rents. To put those into perspective, if we adjust for the expiring tenants, we vacated to achieve higher rents and then only adjust the retention rate to account for those spaces we have already released and our retention rates would have been in the 70% range by square footage and a full 77% by tenant count increasing the 79% if we include leases with agreed terms that are out for signature. This strategy is paying off handsomely and I’d like to highlight some key metrics as these demonstrate the strong tenant demand fundamentals associated with our target Southern California infill markets and our ability to proactively and expeditiously convert favorable demand fundamentals and to increase cash flow and enhance portfolio value. To begin with, despite the volume of re-tenanting of high demand space, we achieved a 153,000 square feet of net positive absorption with lease spreads for new leases at 15.1% on a GAAP basis and 5.7% on a cash basis, which exceeded our renewal releasing spreads of 10.2% on a GAAP basis and 3.9% on a cash basis. In addition, these higher rents on new leases compared to renewals were captured and locked in for longer lease terms, which averaged 4.7 years for our new leases compared to an average of 2.3 years for our renewal activity during the quarter. Finally, if we look at the re-tenanting of vacated space, the velocity and volumes are impressive. As of today, we’ve already re-leased or have for signature 61% of tenants that were vacated and pursue with higher rents by re-tenanting and including those at leases out per signature, this increases were 67%. In short, we couldn’t be more excited about our leasing activity and our ability to proactively re-calibrate rents to higher market levels as leases expire. In fact every single one of our 141 new and renewal leases across 778,000 square feet lease during the quarter, generated a positive releasing spread. We also just completed our 6th consecutive quarter with strong double-digit positive re-leasing spreads. More over with nearly 63% of leases rolling through the end of 2017, we see a substantial opportunity to continue to drive strong NOI growth as we proactively mark rents to market. As a team, we couldn’t be more excited about the opportunities we have before us as we look ahead to the rest of 2015 and beyond. We remain confident in our mandate to deliver substantially better than core returns and accretive growth in the nation’s highest quality, largest and most sought after industrial market in infill Southern California. And with that I’ll now turn the call over to Howard.
Howard Schwimmer: Thank you, Michael and thank you everyone for joining us today. As on the past calls, I'll update you on our markets and review our recent transaction activity. Let me start by providing some perspective on our markets, primarily utilizing market data provided by CBRA. 2015 has started off continuing the trend of our Southern California infill markets being more landlord favor as available supply continues to dwindle and it’s actively looking for space for facing challenges options are limited. 11 landlords to more dramatically push rents and lower concessions in virtually every markets. In Los Angeles County, gross activity have started off strong. The market generated 11.2 million square feet of gross activity with 60% of the activity occurring in the 100,000 square foot segment. The market generated 2.2 million square feet of positive net absorption which is an increase of 12% over the last quarter. Garment, consumer goods, food e-commerce and third-party logistics attributed immensely there is a positive net absorption. But vacancy rates were up 20 basis points since the last quarter, bringing the overall vacancy rate to 1.7%. The rapid fall in vacancies as trended has continued since the beginning of 2014 is the high demand and low product supply. The average asking lease rate increased 3.1% quarter-over-quarter, which represents a growth of 8% year-over-year. Further CBRA expects rents to increase another 5.1% over the next 12 months. Orange County is also off to a good start posting positive net absorption of 690,000 square feet in the quarter. The overall vacancy rate dropped 30 basis point since the last quarter to 2.4% while average asking rental rates were flat in the third and fourth quarter of 2014. The market is tightened and the average asking lease rate has grown 2.9% in the first quarter of this year. Lease rates have moved up due to the lack of available industrial product, while landlords continue to pushing rents and reducing concessions. CBRA expects rents to further increase 8.5% over the next 12 months as landlord pricing power strengthens further. In San Diego County, net absorption was positive for the 11th consecutive quarter, posting an impressive 1.1 million square feet versus 881,000 square feet in the last quarter. Every industrial building type posted positive net absorption in the quarter with warehouse product posted more than half of the total positive net absorption. The vacancy rate decreased 60 basis points to 5.5%. Overall vacancy is now 6.1% lower than the peak vacancies of 11.6% reached in the first quarter of 2010 and is now only 10 basis points away from the pre-recession trough of 5.4% in 2006. Rental rates have increased as well, growing 2.1% over the last quarter. The industrial market in Ventura county continues to show encouraging fundamentals as well. Net absorption was a positive 146,000 square feet in the quarter and the vacancy rate dropped 70 basis points to 3.8%, affirming up with the market caused 1.6% growth in asking lease rates over the last quarter. It mainly require a substantial growth of 2014 carried over into this quarter. The company generated 4.1 million square feet of positive net absorption, which almost doubled the net absorption in the last quarter. The overall vacancy rate dropped 40 basis points over the quarter and 4.1%. Inland Empire West posted a vacancy rate of 3% which was down 70 basis points since fourth quarter 2014, New model in the Inland Empire east, which is not a focus for our expert. Vacancy increased 10 basis points to 5.7% compared to the fourth quarter of 2014. Positive rent growth of certain space size ranges has been neutralized by the underperforming growth and others. So the average asking lease rate remain unchanged since the end of 2014. Overall, CBRA expects that asking rents will increase 13.2% over the next 12 months although this could be tampered by an increased amount of construction. Thirdly, there is 19.2 million square feet under construction in the Inland Empire, which is a 22% increase when compared to the first quarter of 2014. Now moving on to our transaction activity. During the first quarter, we acquired four property, obtaining a total of about 432,000 square feet for an aggregate cost of about $52.4 million. Three of the four acquisitions were off market or lightly marketed sales and they're all consistent with our value driven investment strategy. Our earnings release has details of these transactions, so I will only provide some sights and quick highlights. In January, Rexford acquired Imperial Highway, 101,000 square foot single tenant industrial building in Santa Fe Springs, within the Mid-Counties submarket in Los Angeles, like Class A property acquire for $12.2 million, or$120 per square foot and 100% leased for 2019. We anticipated initial yield of 5.3% with below market in place rent. In January, we acquired Miramar Commerce Center, a 112,500 industrial park within the Central San Diego submarket or $18.5 million or a $164 per square foot. The property is 92.5% leased with in place rents approximately 30% below peak levels. The plan is to implement cosmetic upgrades and lease up the remaining vacant space. We anticipated initial yield of 5.5% based on stabilized occupancy with substantial room to grow rents thereafter. In March, the company acquired Red Gum, a 65,000 square foot industrial facility in Anaheim for $7.7 million, or $118 per square foot. Consumer tenant property has leased to 2019 at a below market rent and we anticipate an initial yield of 5.3% increasing at future periods as we build market. In March, Rexford acquired De Soto of 28 foot clear 154,000 square foot industrial building in Chatsworth within the Greater San Fernando Valley submarket, for $14.1 million, or $91 per square foot. The property is vacant and we plan value add – functional enhancements to capture higher rents on leasing. We anticipate a stabilized yield of 6% on total costs. Subsequent to quarter end, we closed two acquisitions totaling $15.4 million. In April, we acquired Norwalk, Boulevard Santa Fe Springs, a 10.26 acre parcel that includes a 26,000 square foot industrial buildings, a 12,000 square foot office building and about 400,000 square feet of paved outdoor storage for $9.64 million, which represents $22 per square foot of land. In May, we also acquired Arthur Street, a 61,400 square foot single tenant building in Cerritos for $5.77 million or $94 per square foot. It’s worth noting again that our acquisition volumes can varies from quarter to quarter as we do not control the timings of closings. We continue to see a large volume of potential product that fits our criteria and we currently have $29 million under contract comprised of three single tenant buildings and another $40 million NOI, which we anticipate closing in the coming months and quarters. We remain extremely comfortable with our full year guidance and expectations for acquisitions of $250 million or more. I’ll now turn the call over to Adeel.
Adeel Khan: Thank you, Howard. In my comments today, I’ll review our operating results and then I’ll summarize our balance sheet and recent financing transaction. And finally, I’ll update you on our outlook for 2015, starting with our operating results. For the three months ending March 31, 2015, Rexford Industrial reported company share of recurring FFO of $10.1 million, or $0.20 per fully diluted share. This compares to $5.9 million or $0.21 per fully diluted share in the first quarter of 2014. Recurring FFO excluded the impact of approximately 233,000 of non-recurring acquisition expenses and $369,000 of legal fees. Including these costs, company share of FFO was $9.5 million for the quarter or $0.19 per fully diluted share. The bulk of the company’s legal expenses pertained to litigation related to the accommodation matter, which we’re pleased to announce has now been fully settled at an immaterial cost of the company. On the same property basis, we generated 4.2% increase in first quarter rental revenue and operating expenses decreased 3.4% quarter-over-quarter. Decreases in same property operating expenses was nearly due to timing of maintenance and repair items. Same property NOI was $9.5 million for the first quarter as compared to $8.9 million for the same quarter in 2014. Representing an increase of 7.4%. On a cash basis, our same property portfolio NOI was up 7.3% year-over-year. Turning now to our balance sheet and financing activity. At March 31, 2015, the Rexford Industrial has total consolidated debt outstanding of approximately $269.9 million. A consolidated debt includes approximately $169.9 million of secured debt. During January, we issued 11.5 million shares in a secondary offerings, raising net proceeds of approximately $176.6 million. Proceeds were used to payout the outstanding balance on our revolving line of credit, fund acquisitions, and for general corporate purposes. During the first quarter, our total consolidated debt decreased by $87 million and we ended the quarter with zero balance outstanding on our revolving credit facility and $47.5 million of cash and cash equivalents. A strong balance sheet has always been a cornerstone strategy for Rexford. To that end, during March, Rexford received an investment grade rating from Fitch. This is further evident from strength of our platform and balance sheet and expands our capital options as we pursue our growth initiatives in 2015 and beyond. Finally, I’d like to provide an update on our outlook for 2015, which is unchanged from what we provided on our fourth quarter call. For the 2015 same property portfolio, we expand year-end occupancy within a range of 93% to 94% and same property NOI growth for the year of 5% to 7%. Our full-year acquisition target remains $250 million or more. For recurring G&A, we anticipate a full year expense of about $14.5 million to $15.5 million. With that we will be happy to take your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jamie Schulman, Bank of America/Merrill Lynch. Please proceed.
Jamie Schulman: Thanks, good afternoon. I guess starting out – can you talk about in the guidance what your yields are – the yield expectations are on the acquisition both I guess in placed and then stabilized?
Howard Schwimmer: Hi, Jamie. It’s Howard. So as we mentioned in past calls for the inbound cap rate is not really our main focus. So we’re really looking at where we stabilized assets in 12 to approximately 30 months. And so, the assets are typically coming in that timeframe, north of 6% in terms of yield on total cost.
Jamie Schulman: Okay, you’re saying that’s an in play, going in yield…
Howard Schwimmer: That wasn’t [indiscernible]. We bought some assets that have no occupancies, so I would say zero yield, some of them are occupied. But I think what I’m referring really is just the stabilized returns in 12 month to 13 month on our assets. Yes, they’re all over the boards in terms of the inbound yields.
Michael Frankel: Hi, Jamie. It’s Michael. Just to give you a sense of it I think if we look back at what we’ve been buying and we don’t see much change going forward based on what’s in the current pipeline. Average inbound occupancy has probably been in the mid 80s, 85%, 87% on average, and average is inbound day one cap rate has been around five. And as Howard mentioned, on a stabilized basis, north of 6%.
Jamie Schulman: Okay. So I guess I was just thinking in terms of your – you have a model that spinning on your guidance. But it sounds like kind of 5% to 6% is with the – that going in yield is – what’s in your guidance?
Howard Schwimmer: Your day one yield based on a blend of vacant stabilized and the rest is probably around five. And on the stabilized basis north of 6% and depending on the complexion whether it’s got a real stronger value add component could be well north of 6%, or if it’s like more of a quarter plus or core orientation might be closer to 6%.
Jamie Schulman: Okay. And then if you can you tell us what you view as your current investment fire power before you need more capital?
Adeel Khan: Sure Jamie. And I think as we’ve reported at the end of the quarter we have about $47 million on the cash, after the two recent acquisitions that we just announced along with some working capitals we have fully deployed the cash that existed on the balance sheet as of March 31. Further more we have $200 million available on the line of credit. So that I gave you some indication as to – from the credit facility how much we have available there and also we recently announced the ATM program and if an opportunity presents – itself and later on during the year, that certainly going to be another capital source we can use to deploy depending upon the acquisition and the volume within the acquisition pipeline. So I think I gave you some color as to where we are.
Jamie Schulman: Okay. So it sounds like at this point, if you need capitals, you’re coming off your line of credit otherwise you need to issue equity. Did I hear that right?
Adeel Khan: Yes, yes. I think that currently the line of credit is completely available, so that will be the needed source.
Jamie Schulman: Okay. And then how much – how comfortable would you be instead of where you want to be on leverage? How much of the line would you be comfortable using?
Adeel Khan: Oh I think – if you recall the metrics for the supplemental we have a 4.3 debt-to-EBITDA multiple, so we are really on the low end in debt to total enterprise value. But we’re also on a very low end – in the low high 19s, but I think it gives you some decent run rate. So I think we can go pretty far into the credit facility usage before we start reaching anything major from our own internal disciplined perspective. And also I think that something that I remind people we are very pleased to get the Fitch rating that we’ve received in the first quarter. But I think that also another tool that we use to monitor ourselves from a discipline perspective, specifically when it comes to debt to EBITDA multiple. So I think we have a very decent run rate for the next number of months and quarters.
Jamie Schulman: Okay. And then we’re seeing a pickup in interest for assets overall. Any thoughts – any chance we might see you guys actually start to sell some property?
Howard Schwimmer: Jamie, we’re looking at the portfolio on a regular basis in terms of how the assets are performing and keep in mind that a lot of the assets we have today have rents in place that are below market as we are seeing rent grow rapidly over the past year or 18 months. So in terms of maximizing value, we still have a pretty good runway with all of our assets, but that’s said, we do have our eye on one or two things that we might put on the market, but nothing of any significance really.
Jamie Schulman: Okay, great. Thank you.
Howard Schwimmer: Thanks, Jamie.
Operator: [Operator Instructions] And next question comes from Brendon Mariana will Wells Fargo. Please proceed.
Brendon Mariana: Thanks, good afternoon. First up deal any there’s $47 million of cash on the balance sheet. Anything that this is particularly slated for or is that sort of fully available to fund acquisitions first to the extend they come up?
Howard Schwimmer: No, it’s fully available and I think that the cash – I’m talking about the cash, it’s fully available as of March 31, as a matter of fact been the question that I answered earlier, we effectively update that cash here with the most recent acquisition that took place be announcement just, they are also here, so as effectively with the cash and deployed we are back down to the remaining working capital that we need to keep on the balance sheets when they have the fully available I mean we’ve to utilized it exactly.
Brendon Mariana: Okay, and you got the investment grade rating from Fitch, kind of where from a debt to EBITDA basis which I know a lot of rating agencies like to look at as a core metric, where can you bring that number up to or still maintaining and investment grade from the rating agencies.
Adeel Khan: So the investment grade rating is 6.5 multiples is essentially the loose guardrail that’s been established, but I caution people and talking about that, is that it? It’s not a flip test. You can have a quarter or two before you can rectify that, so I think especially with our organization and the heavy growth mode, but that’s especially the loose guardrail that we are measuring ourselves again and that’s also the same answer that I gave earlier is to that one traditional disciplines that we’ve got built into our financial in our balance sheet [indiscernible].
Brendon Mariana: Sure, okay, that’s helpful. What was the reason for the drop in occupancy in the San Fernando Valley and look like it went down on a 900 basis points also sequentially from Q4?
Howard Schwimmer: Hi, Brendon, it’s Howard. We bought a 202,000 foot vacant building towards the end of last year and this year we acquired a 150,000 square foot vacant building as well in the San Fernando Valley. But that really was the main drivers of that occupancy decline. But we’re very bullish on the San Fernando Valley. It’s frankly in the quarter was one of our better performing market, about a 1.4% vacant marketplace. And if you look at our leasing that occurred during the last quarter in terms of new deal, we had a cash leasing spread of 15.7% and GAAP leasing spread of 16.7%. And also I would point that one of the 200,000 foot buildings we bought vacant, we’ve already leased 112,000 square feet of it. Its not occupied yet, but it’s leased. And I believe the occupancy is still in July. 
Brandon Maiorana: Okay, great. And then just it looks like same-store expenses dropped sequentially or they dropped year-over-year. Was there anything driving that number and year – you’re a little bit above your guidance in terms of same-store growth in Q1. But a portion of that did seem to be driven by that drop in expenses. So is that sustainable as we go forward during the year or is it higher rent growth maybe there we get going forward to kind of keep you in that plus 5% to 7% same-store growth mode.
Adeel Khan: Yes, Brandon, I think, this is Adeel. So I think its a great question, and as I’ve often talked in our earnings announce. The repairing mantle for the primary driver. And primarily due to the timing of those expenses. I think they do normalize as we move forward into the year. So I think it’s a one time occurrence. I think those things will stabilize and normalize and that’s the initial guidance that they issued the 5% to 7% growth stand and we’re still standing by that initial guidance. And you will also potentially see the continuing impact of the releasing spreads that we talk about in addition to the occupancy guidance that we gave out earlier, which was a 93% to 94%. So the combination of all those factors will give us the comfort to stay within that guidance range. But the expense pressure initially will stabilize and normalize. So you’ll now see that pattern.
Michael Frankel: Brandon, it’s Michael. I just thought it was an interesting question. I think if you extend that to the consolidated portfolio and if you look the fact, that we’ve increased rental revenues by about $7 million year-over-year on a quarterly basis. But we only increased property expenses and G&A combined, so excluding depreciation, amortization which are non-cash by about 38%. We are seeing very, very strong margin expansion. Overall, as we grow the portfolio and I think we’re seeing that both on a same-store basis, but even more dramatically on a consolidated basis.
Brandon Maiorana: Yes. Okay, that’s helpful. So last one for Howard or Michael, so I appreciate the response to Jamie’s question I think kind of in the stabilized yields sort of low to 6’s to high 6’s. It looks like your space under repositioning, like the new disclosure, the enhanced disclosure. It looks like stabilized target yield is 6.2 if I’m doing the math correctly, maybe 6.3 on repositioned assets. How should we sort of think about that stabilized yields relative to where these assets would be valued upon stabilization, like is a – is a stabilized cap rate for this stuff – probably flat?
Michael Frankel: By the way Jamie, just one – I’m sorry Brandon. It’s Michael. Just one quick comment on your calculation on the stabilized yields. Those target estimated annual stabilized cash NOI that gets to the first year of leasing – for leasing. So that’s how we define stabilization for the purpose of this chart. It doesn’t necessarily define where we get on an ultimate stabilized basis because a lot of times as additional value add activity might occur subsequent to the first full year of lease up. And I think your question was about on a steady state basis is that sort of how we see it, is that your question?
Brandon Maiorana: Yes, well I was trying to compare the initial stabilized yield, may be that’s a depressed number or not a full number versus kind of where the stabilized value is to sort of think about the value creation that you’re getting for taking the risk on these repositioned assets, right. You’re not buying a stabilized – you’re not buying a stabilized assets, so you’ve got a – you’re getting something for the risk that you’re taking. And I’m trying to figure out how much value creation you’re getting for that risk?
Howard Schwimmer: Sure, Brandon, it’s Howard. Let me give you an example. So toward the end of last year, we bought the 202,000 square foot building in San Fernando Valley and as I mentioned we leased 112,000 feet of it, we leased it for $0.02 a foot higher than our pro forma. So that – we expect to now stabilize in the low 6% cap range and that’s a Class A asset that would be valued today, if it was fully leased, sub five, probably in the 4.5 cap range, so we’re creating a lot of value in that respect.
Brandon Maiorana: Okay. So maybe about 150 basis points on a – on a fixed cap, which is sort of 20% give or take?
Howard Schwimmer: Yes, somewhere in that range, sounds reasonable.
Brandon Maiorana: Okay, all right. Thanks guys.
Operator: Our next question from Michael Mueller with JPMorgan. Please proceed.
Michael Mueller: Yes, hi. Just a quick one and I apologize if this was mentioned. But if you’re at sequential occupancy, thinking more on a same-store basis ignoring anything that bothers you during the quarter. What’s the occupancy deal, I guess, ignoring the repositionings and then including the repositionings from Q4 to Q1?
Howard Schwimmer: [Indiscernible]
Michael Mueller: Yes, thinking about the portfolio occupancy change from natural organic leasing supposes to mix changes.
Howard Schwimmer: All right. I could say this in the first quarter we were plus 150 million to 150,000 square feet positive net absorptions, we had a tremendous amount of leasing volumes. And net that represents about a 1.5% of increased in the occupancy from the positive absorption.
Michael Frankel: This is Michael, by the way.
Michael Mueller: Yes.
Michael Frankel: We had a pretty substantial same-store composition change in terms of the portfolio. So we don’t have that data right now at this second for you. But we can address that later offline.
Michael Mueller: Okay. That was it. Thank you.
Operator: Thank you. Our last question will come from [indiscernible]. Please proceed.
Unidentified Analyst: Hi guys, how many vacant building are you comfortable buying. If you look at that 250 million, could half of that be vacant buildings or is there some limit where you want to have incoming cash flows?
Howard Schwimmer: It’s Howard. We typically have projected that in our model that about 25% of what we buy would be value add and frankly we always projected to have the substantial amount more of that be vacant buildings. Whereas I think as Michael made a comment earlier, we’ve actually been able to perform a little bit better in terms of the in-bound value add where overall we were bringing in between vacant about 80% occupancy about a 5% in-bound cap rate including vacant space and buildings. That’s said, we are pretty careful as when we look at the markets in terms of taking risk on those vacant buildings. And different markets we feel little bit differently about as I gave you example earlier about San Fernando Valley that 200,000 for vacant building we bought. We literally leashed the 112,000 feet probably about nine months prior to our proforma occupancy goal. And we already have activity and an offer on the remaining 90,000 square feet. So in terms of the risk profile, we don’t think we are taking a very large risk in the San Fernando Valley especially when we are talking about a Class A asset and if you really drill down to the market, now this maybe one other building right now, let’s say the 90,000 square feet, there maybe one or two other buildings that would even be competing with us. So lot difference that if we are buying a vacant building, in the Inland Empire East where we don’t buy really any assets. Third, I hope that gives some color on it but again we do look at where we have that’s vacant, what our leasing looks like, repositioning timelines and we make those decisions on a quarter by quarter basis based on the assets we’re looking at.
Unidentified Analyst: Got it. Thanks and then a deal, in terms of the ATMs, how comfortable are you issuing at the sort of stock levels or what kind of up sell would you need before you start to buy using the ATM?
Howard Schwimmer: Well. I think I go back to initial answer that I gave. We have plenty of plenty of capacity on the credit facility, I think we have decent runway also we just that credit metrics and the debt metrics look really healthy from where we are. The balance sheet is extremely strong for now. But having said that when the opportunity presents itself latter on, during the year and the quarter we’ll certainly look at that, it’s just another opportunity just another tool for us to have now to really I have really evolved debt and capital stock from this perspective. But I think as I go back to the initial points that I made to you where we are from a debt fact [ph] currency at the end of the quarter and how those metrics look like and how much run rate do we have to be able to achieve some of these target goals that we have laid out.
Unidentified Analyst : Great. Thanks Howard.
Operator: Thank you. I would now turn the call back over to Mr. Frankel for closing comment.
Michael Frankel: Hey just want to thank everybody for joining in the company today. We can't tell you how much we appreciate your interest and focus on Rexford. Thanks everybody.